Matthijs Storm: Good morning, everyone. Welcome to the Wereldhave Full Year 2024 Results Webcast. I'm Matthijs Storm, the CEO of Wereldhave. I'm here today with Dennis de Vreede, our CFO familiar to most of you. We do the usual format. We'll take you through some slides with the highlights of the results. Towards the end of the presentation, we will answer the questions you might have. During the presentation already, you can type your questions in the text box below the screen. So let's start with the presentation and the highlights. I go to slide number 3. First of all, the net profit. So this is a combination of the direct result the recurring cash flow, but also the revaluation of the investment properties at €140 million. That's the highest number since 2007. I think that's quite remarkable. Its 18 years ago that we achieved such a high profit. I think back then it was a little bit over €200 million. But since then we never had a result like this. So I'm really proud of the teams at Wereldhave who have worked very hard last year to achieve this. The direct result itself at €176 million, Dennis will get back to it later and what were the different components of the small increase versus the guidance of €175 million. Thirdly, very important what you've seen in 2024 is that we faced several bankruptcies. In Belgium, in the first quarter first and foremost, we've reported about this. But also later in the year, we've had the bankruptcy in the Netherlands of a homeware and household goods chain blocker not unexpected. It's been a red flag in our portfolio since ages, but it did occur in 2024. We'll get back to that later. But also in Belgium the food and beverage chain Lunch Garden, the old part of the Grand Bazar -- GB grocery store chain went bankrupt with six locations in the Wereldhave portfolio. Despite all that, we had an occupancy rate of 97.3% for the core portfolio at the end of 2024, which is significantly higher than at the end of 2023, which I think is a very good result. We also disposed one Dutch asset, we've mentioned earlier in the Q3 and in the H1 call last year we were in the process of selling two Dutch assets. One Winkelhof in Leiderdorp has been sold. Dennis will elaborate on that asset and the rationale later. We're also in the process of selling a second Dutch asset. The revaluations of the portfolio were positive plus 3%. I've mentioned that already. What's important to us, it's primarily driven by an increase in market rents and not so much by yield compression. The dividend for 2024 we will propose €1.25 per share to our shareholders at the AGM in May which is plus 4% versus last year. The outlook then for 2025 €170 million to €180 million call it roughly stable versus this year which I think is a good outlook because we will face taxation in the Netherlands in 2025 and onwards of about €4 million to €5 million per annum. And we also of course have the dilutive impact of the Winkelhof disposal in the Netherlands. If we then go to some operational figures the direct result per share I've already mentioned to you. If we look at the EPRA NTA per share formerly NAV is up 7% quite good. Loan-to-value at 41.8% down versus December last year and this is excluding the effect of the disposal of Winkelhof the pro forma loan-to-value including the disposal of Winkelhof is 40.8%. Lastly the EPRA cost ratio, we were above peers in the past as you know. We're now at 22.4% which we believe is below average and it's also below the 23.5% target that we set internally. Dennis again will elaborate later in the deck on the several cost-saving initiatives that occurred in 2024 and which contributed to that EPRA cost ratio. Then going deeper into the results, rental income like-for-like NRI growth 6.7% in the Netherlands very strong I think. Belgium we're used to a higher figure, but it was impacted by the bankruptcies as you can see in the call out here on this slide as well. Overall, 4.1% for the core portfolio. Leasing I think what you see in today's market again I've mentioned that word several times there's a polarizing leasing market. We see bankruptcies on the one hand but we also see an increasing demand from existing retailers and also new retailers entering the market. So volume wise it's been strong last year and it continues to be very strong in 2025. I think also in the month of January, I've never approved as many leasing deals as this year. So that is a really good sign. From a rental level perspective, if you look at Belgium, we continue to sign above EPRA and above ERV. In the Netherlands, we're still a little bit below EPRA. And the volumes are really good. We do see rental growth in line with inflation, but not more than that. So that's the difference between the Netherlands and Belgium. But again volume wise very strong and the occupancy rate as you can see on this slide has increased to 97.3%. We have more-and-more full service centers. As part of our LifeCentral strategy, we're transforming traditional shopping centers into full service centers. We now have nine full service centers completed. This year we will have two more completions in Kronenburg in Arnhem, Phase 1 and also in Nivelles in Belgium. If you look at the performance on this slide for example, the leasing spread 8.5% positive, but also tenant sales growth which I believe is the best forward-looking indicator for future performance, plus 4.9% if you compare that to the assets in transformation but also to the traditional shopping centers minus 0.3%, you can see that our concept is working. Footfall was more or less in line with the market. I think you can see that on these slides. I've mentioned tenant sales. If you look at the Netherlands and Belgium 3% to 4% growth, maybe shortly zooming in on different categories in the Netherlands of course Homeware & Household, minus 3% impacted by the bankruptcy of Blokker and the Big Bazaar stores towards the end of 2023. So that will be a better figure in 2025, I think. In Belgium, we had of course the impact from the bankruptcy of Lunch Garden. If we then look at the resilience of our rental income profile, we always focus on the daily life exposure in the portfolio. The percentage of the rental that is focused on non-discretionary items convenience Daily Life, it's all the same. It has increased further to 68%. Again, when we launched the strategy which you can see on the left hand side, in the Donuts it was only 51%. It means, again, and I've also mentioned that in some of the interviews this morning in the media I think, we've become a very resilient company. It means that if the economy is going to grow 4%, 5%, 6% we might underperform a bit, but still positive. But in the market where we are today with a lot of economic uncertainties, I think this is the kind of income profile that you want. On the leasing side, I'm not going to mention all the information on this sheet, but focusing in on Lunch Garden in Belgium. I think at the end of the day this was a good bankruptcy for us, how strange it might sound. I'm mentioning that because, four out of six stores are continuing at a higher rent. And the two other ones, we actually needed for transformation the one in Bruges, but also the one in Kortrijk are part in our drawings in our blueprints of the full service center project. So for us it's -- I think it's a positive that we've now been able to deal with that. In the Netherlands, the Blokker locations, most of them have been leased out in the meantime. And for the other ones we do have LOIs in place. We actually have tenants to choose from. The Blokker locations are good locations. So again, I think we're in a good situation there. Last slide from my side before, I give over to, Dennis. The occupancy cost ratios pretty stable versus the last couple of decks 13% 14%. I think as I always say, in Belgium, there's a little bit more upside to that OCR, because we have a higher sales productivity. There's a linear relationship, positive relationship between sales productivity and the occupancy cost ratio. In the Netherlands 14%, I think is the right ratio and I think that will stabilize rents will grow in line with the sales growth of the individual tenants. With that, I'd like to hand over to, Dennis.
Dennis de Vreede: Thank you, Matthijs and also welcome from my side officially. For 2024, we've been very much focusing on the cost savings in our company. I think this slide explains the different buckets we have been focusing on. Primarily on the net service charges we've been able to push that down with 19%, but also on the property expenses and even on the direct Gen X, we were able to push it down a little bit to the numbers you see here €1.5 million and €0.4 million for respectively, property expenses and for direct Gen X. And for the direct Gen X, we expect 2025 to be flattish, despite the indexations. The direct result Matthijs just mentioned it, I think a very solid year as we have been saying before, primarily driven this 9% by the acquisition of course of Polderplein which was late-2023. But also the Netherlands and Belgium, both their NRIs have been contributing basically to the positive 9% or €7.3 million of direct result increase. This was offset by the higher interest expense. That was not a surprise, obviously, to us but you can see the impact of that on our direct result. For 2025, we are guiding towards €1.70 to €1.80 direct result per share as you can see on this slide. Again, that is including the negative impact of the disposal of Winkelhof, which I will come back to you in a few more slides, and the €4 million to €5 million expected Dutch corporate income tax, which we have to start paying from 2025 onwards. I think also on this slide, on the very right-hand side of this slide you could see that, we will be proposing -- we are guiding towards an increase in our dividend per share for the year 2025 and that will be proposed ultimately, of course, on the AGM in 2026. But that's another 4% up. If I then go to the transactions, the biggest disposal and the most recent disposal we signed the SPA last night was with our asset in Leiderdorp Winkelhof. I think it's the very first larger step, I would say, in our capital rotation actions. We are actively looking to dispose non-core assets in the Netherlands, driven by, on one hand, the IRRs, which would be not meeting our threshold of 8%. And on the other hand, of course, it will also help us reduce our tax expense in the Netherlands. For Winkelhof itself, I think also important to know is that we are selling this very close to book value. We do not believe internally we could make this a full service center given the size, given the building structure of Winkelhof. And also from an ESG side, we would be needing to invest a lot of ESG CapEx to push it towards the levels that we would like to have the asset. So all in all, I think we are very happy that we are able to sign the deal last night. Moving back to Matthijs.
Matthijs Storm: Thank you, Dennis. The strategy LifeCentral and the progress we've made last year, starting with the bar chart on the bottom right. You can see the further increase of the mixed use to 16%. Again, we think once all the assets are full service centers, we will be at 20% to 25%. Then the two transformations that will complete this year, that's first of all, Nivelles in Belgium, our shopping center just south of Brussels. So it's been a very strong center for us. I think the strongest opportunity here is the F&B opportunity. So we're expanding the F&B area, F&B tenants but also some terraces outside. At the same time, we're refurbishing the facades of the shopping center and some other smaller projects that will complete this year. Secondly, larger project Kronenburg in Arnhem, a shopping center that's been in the Wereldhave portfolio since 1979, actually acquired from the contractor back then, always been a very strong local shopping center. We're transforming that into a full service center and that's going very well. This year we will complete Phase 1 of the Kronenburg transformation. And later in the future there will be also a Phase 2 and Phase 3. Again, I think Nivelles and Kronenburg, these two completions this year will also help to drive both value growth as the other completions did in the past but also some earnings growth. Then the full service centers and the KPIs. You can see here, we continue to add more and more full service centers to the portfolio. It's nine at the moment. As I've mentioned previously, footfall, I think, that's a very strong outperformance but also in terms of retail sales plus 5% versus plus 2% for the other assets. And also, from a total return perspective, these are unlevered IRRs that we focus on 9% versus 5% for the other assets. As you know we're sticking very closely to that IRR framework that Dennis will also elaborate on later in the deck in order to allocate and reallocate our capital. Winkelhof, as just mentioned by Dennis is a good example of that. Then the CapEx, for the coming years, we now have almost 80% invested of the roughly €300 million that we dedicated for the strategy. Next year, we will spend about €25 million and the other €40 million in the coming years. Talking about the IRR framework, we have a threshold of 8% unlevered IRR, which is based on the weighted average Continental European IRR as published by Green Street Advisors, as you can see on this slide, we want to do better than that. You can see that most of the assets qualify a combination of full service centers and projects in transformation. You can also see there's still one asset left to sell in the Netherlands. I've already mentioned that, but you can also see that is the case from an IRR perspective. And we have two assets in the whole bucket, which means we're fine-tuning little things in the programs in order to increase the IRR above that level of 8%. Yield shift for our assets is continuing, particularly yield compression in some cases, also yield softening, but we do compare that to the market. And you can see for some of the Belgium assets, the yield has increased, but the market yield according to Cushman & Wakefield has increased 100 basis points. So relatively, I think that case still stands. Residential profits, we always have one slide on that. It's going slow, and it takes a lot of time. However, in 2025, we do expect to get €6 million in gains in, amongst others, the Tilburg project that you see on the top right, I think that's about €3 million, then I said. Correct. That's part of the €6 million, so that will come in this year and in 2026, another €8 million. It's not hugely significant, but I think it's nice to have from a free cash flow perspective and also from an earnings perspective. Then we go to financing and valuations.
Dennis de Vreede: Yes. Well, we mentioned before a nice positive revaluation of about 3% on our core portfolio, primarily driven by the higher market rents. I think that's -- for us, that's key. That's proving to us that the valuations are stable and are moving slightly upwards. The valuation in France were slightly down, slightly down by a slight yield compression mainly. And if you look at the offices in Belgium, we see stable valuations. The net LTV target, we keep repeating this slide because we very strongly push towards the net LTV of 35% to 40% for the company. We've said that already back in the early days when we were transforming the company. We want to push it below the 40%. And I think with the 41.8% at the end of 2024, the pro forma 40.8% after disposing Winkelhof and still the assets in France, which are on the selling list, obviously, we should definitely get to the 35% to 40% over the next period of time. Our finance profile, it speaks for itself. I think last year, we were very happy to be able to announce that we have a Fitch BBB stable investment-grade rating. I think to us, that has opened a number of doors. First of all, we've seen an immediate effect on our net interest expense of about 30 basis points margin reduction on our RCFs. And we continue to push again that LTV down. I would definitely believe, and you can see that on the right-hand side that with a 7.2 multiple on our debt versus EBITDA we are moving in the right direction. Our debt profile, our interest-bearing debt remained quite stable over last year with only a plus of 1.3%. Average cost of debt is quite stable. And if you go down this list, again, our net LTV down with about 90 basis points, largely due to the positive asset revaluations. I think that's -- again, that's driving us in the right direction. And that makes us very much within the banking covenants, as you can see on the bottom side of the slide. Also, the refinancings in 2024, we've been quite successful in the refinancings have been pushing our debt maturity up a little bit. Having said that, you see this on the next slide, the successful refinancings during 2024. Again, USPP was again successfully tapped in 2024. And we have not that many debt maturities over the next two years in 2025, 2026. That's mainly some USPP tranches and a little bit of our RCF. And we are obviously keeping a close eye on that. The bigger ones are in 2027, and that's our large corporate RCF, which will -- we will need to be refinancing. On the right-hand side, you see the debt mix. This is primarily USPP, as you can see there. But certainly, we will also be looking for other ways to finance the company. We've taken the first steps now, to explore the European PPE market, which look promising to us. We had some very successful initial conversations. So perhaps, this year, we will be exploring that market. On the ESG side, a few highlights for this year. I think it starts here with our Better Tomorrow strategy. We have been pushing for the five-star GRESB rating. And again, with a score of 92 points in 2024, we achieved this five-star rating. On the climate mitigation side, we had promised to reduce our carbon emissions by 30% by 2030. At the end of 2024, we are at minus 40%. So, I think also there a very good achievement. And then, I would say on the climate adaptation, we have been undertaking in 2024, already nine climate risk assessments for 90 centers and we will be looking to finish that assessment during 2025. This is a snapshot of the different parameters, the different benchmarks, we are competing in. On the very left-hand side, you could see GRESB. I'm not going to mention, all these benchmarks obviously. But CDP is maybe a nice one also to mention. We have just achieved or just received the result for 2024, which is bringing us back on the A- position, which is an increase in improvement compared to 2023. Some of the main projects in 2024, on the ESG side, were obviously our CSRD and EU taxonomy preparation. We've been spending an enormous amount of effort, energy and time from basically, the entire organization, on these two topics. And by the end of 2024, we asked a consultant, an independent consultant to do a readiness assessment evaluation, and that came out very positive. So we are very also positive for the remainder of 2025, to finish the work and make sure we are fully compliant by the end of 2025. On the green lease agreements, which is part also of our commitments to some of our banks our RCF banks, we've been pushing very much our leasing teams and also convincing our tenants to sign up for the green leases, which has resulted in a 7% increase of our green leases from 67% to 74%. And lastly, I thought it was nice to mention, that we started in 2025 or late 2024, a sustainability partnership with Jumbo, the supermarket chain. And that started for us with a first lease contract with solar panels on De Koperwiek in Capelle aan den IJssel, which are fully dedicated to the Jumbo supermarket in the shopping center, and which is a nice interesting combination for us where we install our solar panels. We leased that via a contract to Jumbo. And I think it is attractive for us on the return side, indirect return, but also on the direct return side, but obviously, also very attractive for our partner here Jumbo, to gain some additional green energy. So, with that, I would like to hand it back to Matthijs.
Matthijs Storm: Yes. Thank you, Dennis. And that will be the last slide here, the management agenda. Usually, we go quite quickly through that. But as you might know, our previous management agenda was until the end of 2024. So, time for a new agenda. I think half of the content, which is particularly on the lower end finalizing the last transformations, the ESG ambitions, phasing out the French portfolio, last two assets, but also the last phase of the balance sheet de-risking. Dennis already elaborated on the financial profile, and the loan-to-value. That is I would say, roughly unchanged. However, the first three, I think are relatively new. Creating scale is something, we've talked about last year as well. And also during the year, we still believe it makes sense to achieve a greater scale for the company in order to benefit from synergies, both from a cost perspective, but also from a capital markets perspective, cost of capital perspective. We want to expand the portfolio, but there's a clear focus on the core markets as we've said before. So that's the Netherlands, Belgium and Luxembourg. And I think we've also mentioned that given the situation in the Dutch market, we are not looking at acquisitions in that market, so take that out. Secondly, we want to preserve and maintain the strong balance sheet that we've built over the last couple of years. Secondly, total return I think that speaks for itself. If you increase the unlevered IRR hurdle, then the levered total return expectation should go up as well. So we set the bar now at 10%. In the full year 2024, we were at 11.3%. Lastly, the capital reallocation. We have the ambition to execute two Dutch disposals. One has already been executed and the second one is under negotiation, but we also want to set up three joint ventures I think particularly focused on the Dutch market take equity out, but continue to manage the assets and leverage on the very strong asset management, leasing, finance, legal platform that we have and which is recognized in the Netherlands. We have one joint venture under discussion. I cannot say too much about it at this stage, but I think that very well ticks the box of the capital rotation, take equity out of the Dutch market, put into the Belgium or Luxembourg market in a tax-efficient manner I think fits our strategy. With that, I think we can go to the questions. And if you still have questions, please type them into the box. I have questions already on my screen, so we're going to start with that.
A - Matthijs Storm: The first one coming in, a couple of questions from Francesca Ferragina from ING. Thank you, Francesca. The first one is, could you make a comment about the negative 3.2% MGR in the Netherlands? Why is there such a difference with Belgium at plus 8%? And she's also asking, I see MGR very negative in France. What is the reason for that? I think I've elaborated a little bit on that Francesca. What you see in the Dutch market is that there's a huge increase in volumes. There's a lot of interest, but we're not yet at the level where rents are increasing in all the locations. To give you a positive example, Vier Meren [ph] [indiscernible] that's the full-service center, plus the asset we acquired in December '23 from DELA. There we had a positive leasing spread of plus 10%. So you can see in such an asset, we do have the bargaining to increase the rents. But the reality is in some of the other locations, we're not there yet. I think slowly we will go to the 0% in the Netherlands. For the moment, I think that's where we stand. If you model us inflation like rental growth going forward, I think that's what you should account for in the Netherlands. In Belgium, we continue to believe also given the lower occupancy cost ratio as I mentioned in the slide, there is inflation plus rental growth going forward. Why is that? That is your question. Why is Belgium stronger? I think first of all, that is because of the shopping center supply. Belgium is less oversupplied with shopping center space, retail space versus the Netherlands particularly in the locations where we are. We have about 70% of our portfolio value in the Walloon area in cities like Liège, Nivelles, Tournai where inner cities are really struggling. There has not been any investments. There's a lot of vacancy in the inner cities. We have a nice shopping center outside the city, free parking that is winning the competition versus the inner cities. And that is different in the Flanders area and that's also different in the Netherlands where you have these nice old historical city centers for example Amsterdam as you know which are a competition to us. France, yes, that's very specific Francesca, the leasing spread that is because we extended the leases with Sephora, the perfumery chain in France in both Mériadeck Bordeaux, [indiscernible] Argenteuil in Paris, but we had to decrease the rent a lot. So they impacted the number first and foremost. Then your second question, you mentioned some acquisitions in Belgium. Can you tell us something more? I think I've elaborated on that already. What we've mentioned is in the management agenda is that, we have the ambition to grow the portfolio in our core markets. Belgium is part of that. Let's see later in the year, if we can execute acquisitions for example in Belgium. The third question is the second Dutch asset you are negotiating well is that an asset with a low IRR? Or is it a full-service center? Yes, it is an asset with an IRR that is below the threshold, below the 7% as we showed in the slide that is the one in the cell bucket. It is indeed also a full-service center, but I think the strength of sticking to the IRR framework is that everything has a price. So we are willing to sell a well-performing full-service center if somebody is willing to pay a price which implies an IRR which is below the 7%. That is sticking to the framework in our view and we will continue to do that. Then on the CapEx side, my screen is moving a little bit. How many ESG CapEx are to come, Dennis maybe that's one for you to elaborate on.
Dennis de Vreede: Yes. Francesca, we are aiming next year to invest around €4 million -- €4 million -- €5 million of ESG CapEx. Sorry, I was looking in the wrong camera. That is part, obviously, of our road maps to Paris. I think before I've been telling that we have been using a consultant to analyze all of our assets. They created road maps to Paris as we call it and we try to stick as much as we can to those road maps. So for next year it was about €4 million. This year we also did around €4 million primarily solar panels isolation and those sort of things you should think of.
Matthijs Storm: Another question from Francesca, Dennis the average cost of debt, how do we see that evolving for 2025?
Dennis de Vreede: Yes. Very good question. I think like I said before it was a stable slight increase in 2024. Last year we did include, of course, quite some new USPP. At the time, we've been telling those rates -- those all-in rates were around 5% and around 6%. So I would expect 2025 to have a slightly higher average cost of debt. On the other hand, we did also a good I would say refinancing in Belgium about €80 million which is below almost around this average cost of debt. So all-in-all I would expect it to increase slightly, but not that much.
Matthijs Storm: Last question from Francesca, our like-for-like hypothesis for 2025. I think in line with what I've said earlier for the rental growth in the two countries, Netherlands and Belgium I think we expect inflation of about 2.5% in our models. And for the Netherlands that's the same as the rental growth. And in Belgium it's a little bit above it. So I would say about 3% overall Francesca would be a good number. Thanks for your questions. We go to Amal Aboulkhouatem from Degroof Petercam. Congratulations for the solid results. Thank you, Amal. Three questions from you. Can you give us more detail on the Winkelhof disposal? And what is the pro forma loan-to-value including the asset sale? Thank you.
Dennis de Vreede: Yes. Amal, okay. Good question. I think we have been exposing that more or less on page 18 of the deck. So the rationale of selling Winkelhoff is that the IRR is around 6.4% as we have been also telling on this slide. So below our threshold. Of course, also we've been looking at okay can we transform this into a full service center and we don't believe we can given the requirements we have around full service centers. Thirdly, there needs to be a lot done in terms of ESG CapEx. So -- and that much that would be driving the value way more down. So those were the reasons why this asset had been on our selling bucket list for the past two year, three years and that's why we were happy to be able to find the right buyer. The pro forma LTV will go down with 1% from 41.8% to 40.8%.
Matthijs Storm: Thank you. A little bit cold hands but I think the heating is off but that's all right. That's probably for the sustainability footprint. The second question from Amal. There are one-off costs of €1.4 million reorganization costs and €2.7 million project-related cost. I think that is all related to the indirect cost. Can we give some color.
Dennis de Vreede: Yes, certainly Amal well you -- first of all you can see that these indirect Genex costs I don't have it here in front of me but from the top of my head we're like around €8 million last year. At that time, we also received some questions. A large portion of that last year had to do with the implementation of a new ERP system SAP. But also the reorganization last year we did as part of the moving to the new headquarters where we merged the Dutch team and we call that the holding team at the time. And on top of that we had the customer experience team phasing out. So there was a high number. This year we had a smaller reorganization. We looked again okay where can we save direct Gen X. Well, you could see that we were able to save some direct annual recurring Gen X by another reorganization in the Dutch team. And on top of that, yes, we did a number of, let's call it, exploring activities to see, okay, where can we grow our portfolio, how can we do that? So we made some cost of that as well, and that is also included in this €4 million indirect Gen X.
Matthijs Storm: Okay. And then last question from Amal. What is your operational margin target? I don't think we have a specific target for that, Amal. If you want to dive deeper into that, we can always do that offline, of course. But we don't have a specific target for that. What you have seen is that our EBITDA margin has improved last year. I think Dennis already elaborated on the reduction in property expenses and the nonrecoverable service cost. Thank you, Amal. Then we go to Eduardo. His question, could you provide more color around the re-leasing of the bankruptcies in Belgium? Which type of retailer did you bring in? And what were the leasing spreads? Thanks for the question, Eduardo. Two things in Belgium. First of all, Lunch Garden, that was the biggest bankruptcy. Six locations, two of them, I think I've mentioned that we took back for redevelopment in Bruce. We are refurbishing or basically rebuilding that retail park, which is financially very attractive to us, and we're very happy that we can bring in another tenant. And then in Courtrai, the Lunch Garden was at a very strategic location in the center with a very nice facade to the parking. We will split that store, and we will release it probably to fashion tenants at a better rent, but we will also bring in, in that part of the center, a new leisure concept. You will all see that coming in 2025. That is Courtrai in Belgium. The other four locations, we were happy to continue with them. They injected new capital in the company through two private equity companies that have invested. Leasing spread here was positive, I think, about 5% to 10% on the remaining locations. For the other bankruptcies in Belgium in the first quarter, we've also mostly replaced bankrupt fashion with new fashion. As you know, in the Belgium portfolio, our centers are nearly 100% occupied, I think 99% as per the end of Q4. And in most of the centers, there's still a very good demand for fashion. So we've replaced them by other fashion names. I'm very happy to provide you with the full list if you want to. Then we go to a set of questions from -- or a question from Steven Baumann from ABN AMRO ODDO. Is it correct that fair values in H2 declined in Belgium and increased in the Netherlands? So being flat for the entire portfolio, please comment then on the Belgian devaluations. Is that due to the weaker rental levels? And what can we expect for 2025? Whilst Dennis is looking into the results for 2024, I can already give you some comments about this year. I think, Steven, the revaluations are always driven by the effect of the market yields, which in itself are driven mostly by interest rates. Now with what's happening in the world today, I think that is very difficult to forecast. What we do see is that we continue to lease above ERV in both countries, both in the Netherlands and in Belgium. So let's assume stable yields. In that case, I do expect the positive valuations to continue based on higher rents.
Dennis de Vreede: Yeah. And perhaps maybe also to add, Steven, because that was well noted by yourself is that we took some exceptional hits, I would say, in the second half of 2024 in Belgium. That was driven by one -- or actually by two projects, which were in our -- on the development side, which means writing off development costs because we are not going to proceed with those projects. That was a total of around €9 million we took in the second half in the valuation. So that has been driving the positive valuation results of €41 million down to like the €31 million you could see right now.
Matthijs Storm: Thanks, Dennis. We have another question from Steven. You state to explore acquisitions in Belgium, Luxembourg. Could you please comment how far are these discussions today? It is, as we stated, Steven, we are exploring files at the moment. That is the reality, but nothing certain as yet. Secondly, whether these are value-add acquisitions to be transferred to a full service center? Yes. All the projects we are exploring include assets where we can do, I would say, the same as we did to most of our assets in the Netherlands and Belgium, transforming from traditional shopping center to full service center. That is the goal. And three, whether that means it is unlikely for you to acquire an asset outside the Benelux in 2025, I think indeed that's quite unlikely Steven. We have nothing on the table today outside the Benelux. Another question from Steven. You are also in exclusivity for a second Dutch disposal. Is this a full service center? Yes, I think that was the same question as Francesca. Could you provide more color on the discussed valuation versus book value? The ambition here is to sell above book value, Steven, and at a price, which implies an IRR sub-7%. I already mentioned that, and whether this transaction could positively impact the total Dutch portfolio valuation in your view? Well, indeed if we sell above book value then it should have a positive effect on the realized valuations in the indirect result. Thanks for that Steven. Then we go to Benjamin Legrand. He has a couple of questions. First of all, does the guidance comprise the disposal of the second Dutch asset in the Netherlands?
Dennis de Vreede: I think that's a good question. I would say, it does not comprise that second disposal. It also depends when we are going to dispose that asset of course. So it's not certain at the moment that we're going to dispose that asset. I mean we are in good discussions, but it will take some time I think before we will close the transaction. So no is the answer. It does include the disposal of Leiderdorp and it does also include the €4 million to €5 million expected corporate income tax in Netherlands.
Matthijs Storm: Second question, you did well in terms of cost savings, net to gross rent at ratio and direct Gen X. Thanks Benjamin. Can we expect this to continue accelerate going forward? I think you already gave…
Dennis de Vreede: Yes, I can answer that question. I think on the net service charges that continues to be a focus item for us to push that down as much as we can. So I think the level you've seen for this year, I would expect that to continue in 2025. I think on the property expenses, as we mentioned also in the press release, we had some cleanup we did in 2024 in our provisions for bad debt. You've seen our cash collection went up to 99%. So we're very comfortable with our cash collection. So we did see some opportunity to release some of the bad debt provision there. So that it was a one-off, of course. But again, it is a focus area. And on the Gen X, the direct Gen X, well, I think on the slide we showed that for 2025, we will continue to see the €10.5 million as we had seen in 2024.
Matthijs Storm: Third question from Benjamin, update on the disposals in France. Not much to say Benjamin. For one of the two assets we do have discussions at the moment, but it's very early days. As we said before, the French investment market is really quiet at the moment. I think you can also see that in the numbers from CBRE or Cushman or any of the brokers in that market. It's very quiet. The yields in France are still very low. We see a lot more activities in other markets, so nothing to report today. Fourth question, in terms of acquisitions, are you looking at your current core locations? Or could you go to other locations? I think we've already mentioned that in the meantime it will be focused on the core markets. And your last question, in terms of portfolio valuation, Belgium portfolio positively revalued year-on-year but less than in H1. I think that was also the same question as Steven asked. So good observation indeed and I think Dennis has answered that question. So thanks for your questions Benjamin. Then we have a question from Alex Colston. Could you comment on the letting process of the three yet to be let former Blokker stores? What percentage of rent roll do these three stores represent? As I mentioned, we have LOIs for all the Blokker stores that have not been signed yet Alex and for most of the stores more than one. So we can choose here. I think in a couple of months, so let's say, in three, four months all of the Blokker stores will be completely let and some of them have already a new tenant physically in it. What percentage of the rent roll is that? I think all the Blokker were about a percentage, I think of our rent roll. So I would guess the three stores are less than 0.5% of the rent roll Alex. I can give you the exact figure after the call. We have a follow-up question from Francesca Ferragina. Are you open for JV in the Netherlands only? No, in Belgium, we could also do a JV, the Belgian REIT legislation allows for such structures. We could do that. We don't have any discussions today Francesca but theoretically, I think we could. Then, we have two questions from Niko. Will capital coming out of joint ventures, all be reinvested? Or will you consider a stock buyback program? Good question, Niko. I think every time, we have money coming in whether it is a disposal or a joint venture or any other capital market structure, we do reconsider all the options in the capital allocation. And yes, share buybacks as we have mentioned previously, are still an option. We have the mandate from our shareholders. We will renew that mandate or ask for a renewal of that mandate, at our upcoming AGM in May. So, it's still an option. Other question from Niko. Expanding in foreign countries like Germany, is this out at the moment out of the question? Yes, that's out of the question at this moment. Then, we have two other questions from Alex. Cost apologies, Alex. They're a little bit fragmented in my screen, so I didn't put them together. Could you share, what you're currently seeing in the Belgian transaction market, in terms of volumes yields? There's a lot of product on offer in the market at the moment, Alex. I'm not going to comment about all the individual files, because of course we've signed NDAs. But there are several shopping centers on the market in Belgium, and that is different versus the past. There was also recently a transaction of a larger retail park in Brussels, for example. So, I certainly, expect activity to pick up. And your last question, can you give some more information on how you achieve the cost savings in service charges and property expenses?
Dennis de Vreede: Yes, I can certainly comment on that. We have been using 2024, to focus on our cost base. We wanted to bring our EPRA cost ratio down to below our target of 23.5%, which in the end worked out as you could see 22.4%. So, on the net service charges, we've been looking both ways, where can we save some of the expenses, but also where can we push these expenses to our tenants. And we found also reasons, where we haven't done that in the past and we've been doing that. And so we keep exploring that, keeping an eye obviously on the OCRs, for those tenants, but where we can technically and legally, then we will be doing that. On the property expenses side, again, there we've been looking at the lease cars. We've been looking at housing. We've been looking at those sort of expenses, where we could reduce the cost. Like I said, also before this number has been influenced by the fact that we have been also releasing some of our bad debt provision in 2024, as a result of a cleanup of a scrub of our bad debt provisions, resulting actually, that resulted from the very excellent cash collection at 99%. So, I see that more as a bigger one-off in 2024. But obviously, we keep pushing for components to drive that category down as well.
Matthijs Storm: All right. I think, that's all what we have for today. Thanks a lot for your attention, for all your questions. I can see we have a record number of attendees today, so that's a good sign. I hope you have a good day with all the sets of results, which are coming. If you have any further questions, you know how to reach us, either Dennis or myself or Jeroen Piket, our Director, Investor Relations his details -- his contact details are on the website of Wereldhave. Thanks again, and have a good day.